Operator: Good day, and welcome to the Banc of California Inc Fourth Quarter 2017 Earnings Conference Call and Webcast. All participants will be in listen-only mode [Operator instructions] After today's presentation, there will be an opportunity to ask questions [Operator instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Timothy Sedabres, Director of Investor Relations. Please go ahead.
Timothy Sedabres: Thank you and good morning everyone. Thank you for joining us for today's fourth quarter 2017 earnings conference call. Joining me on the call today are Banc of California’s President and Chief Executive Officer, Doug Bowers; Chief Financial Officer, John Bogler; and Chief Risk Officer, Hugh Boyle. Today's conference call is being recorded, and a copy of the recording will be available later on the Company's Investor Relations website. We’ve also furnished a presentation that management will reference on today's call, and that presentation is also available on our website under the Investor Relations section. I want to remind everyone that, as always, certain elements of this presentation are forward-looking, and are based on our best view of the world and our businesses as we see them today. Those elements can change as the world changes. Please interpret them in that way. Cautionary comments regarding forward-looking statements are outlined on Slide 1 of today's presentation which apply to our comments today. And now, I will turn the call over to our President and Chief Executive Officer, Doug Bowers.
Doug Bowers: Thank you, Tim, and thank you everyone for joining our call today. Last quarter, we laid out five near-term priorities between then and now. Let me kick off today's discussion by updating you on these five items. Number one is surrounding growing organic loans. We saw strong loan originations in the quarter, which resulted in held for investment loan growth of $433 million, which was a 7% quarterly growth rate or 28% annualized. One quarter alone does not make a trend. However, we are seeing reinvigoration of our banking teams and calling activities. Going into 2018, our goal is to amplify this momentum to generate additional high quality loans that fit within our risk appetite and that will continue to support the remix into a more traditional bank balance sheet. Number two continuation of our overall balance sheet remix. Alongside the long growth, we enjoyed, we continue to reduce our securities balances including fully exiting the remainder of the corporate bank debt portfolio, reducing CLO balances by $117 million and completing the sale of $24 million of MLP debt securities. Number three, refresh of our compensation philosophy. We are finalizing performance reviews for 2017. And as a part of this process, we are launching defined metric-based performance objectives for many of our employees and namely key leaders and producers across the organization for 2018. As you would expect, these performance criteria will ultimately follow a structure similar to my own and those of our executive officers and we consistent with any guideposts we publicly announce. Employees will have a component of corporate financial performance objectives in addition to individual or business unit goals for production, balances, earnings and other metrics. At first blush, this may not sounds groundbreaking, but let me remind you this is a cultural change for this company and we expect that 2018 will be a big year for aligning compensation with performance across the organization. As we move throughout the year, we can share more detail with you around how we are thinking about incenting the right behaviors and activities. Number four, deposits, deposits, deposits. On the liability side, we continue to work hard on improving the funding profile of the company as we saw a modest decline in overall deposit balances as we purposefully brought down balances of high cost and high volatility deposits. Offsetting a portion of these declines were increased core business unit balances collectively from commercial, private and retail banking, which increased by $290 million and the gap was back filled with wholesale funding namely FHLB and broker deposits. The build out of our Deposits and Treasury Management Services team is in the early stages and expected to produce meaningful results as we move through 2018. Changing the sales culture of our front-line team to be deposit minded in addition to hiring additional deposit gatherers should drive growth of core low cost deposits, but this growth will take time. As we work toward a balance sheet that is increasingly core funded and less volatile, we will indeed continue to utilize the FHLB and other wholesale funding to supplement the net asset growth. The makeup of our funding base today is inherently more wholesale than we would like and this does put pressure on the net interest margin and a rising rate environment and we need to improve our funding base. The transformation of the funding profile of the bank from wholesale to increasingly core funded is the most important piece of our journey. And while these activities are underway, it will take time to complete this transition and demonstrate results. Number five, deliver a strategic roadmap. We are finalizing our budget and plan for 2018 as we speak. And as we have said, we expect to share thoughts as to where we will go from here shortly. Our plan is to provide an update the first full week of February to all of you. These fourth quarter results reflect a continued execution of our plan to remix the balance sheet and focus the company on organic growth opportunities. Our expense focused culture is taking hold as fourth quarter expenses excluding the loss on solar investments and non-recurring items came in at $59.1 million. The quarter continues to include a handful of non-recurring items impacting earnings, which John will detail later on the call. These non-recurring expenses have lingered longer than we would like and looking into the New Year we expect a large part of them to diminish. This expense level is a result of both continued investment in front-line personnel namely added bankers and front-line deposit producers to drive deposit loan and revenue growth and realization of efficiencies in the back office and reduction of legacy expense items. Strong credit continues to be a hallmark at Banc of California with non-performing assets to total assets of 21 basis points. Even though the NPA ratio moved up slightly from the third quarter, at these absolute low levels non-performers could bounce around a bit. That said, the credit environment overall remains very strong. Our ALLL to total loans increased this quarter to 74 basis points up from 67 basis points a year ago. On the capital front, we continue to have more than adequate capital to fund our business with common equity Tier 1 ratio of 9.9%, the highest level in over three years. Before I turn it over to John, let me share a few thoughts of what I'm seeing across our markets since the last time we updated you. Over the past quarter, I've continued to spend substantial time out in our markets, meeting our people, visiting our clients and recruiting additional bankers to our business units. I continue to be proud of the deep and experienced talent we have across our company with 750 colleagues serving California’s businesses and entrepreneurs each and every day. We have a great brand and we operate in a market that continues to show strength across virtually all metrics including strong job growth, economic expansion and business optimism. On the recruiting side, we believe there are many talented individuals in our markets that want to be part of what we are building here at Banc of California. For them, we represent an opportunity to join a firm where they can make a meaningful difference and be an active partner in our success. We believe we are well positioned with the balance sheet, products and capital to serve clients across our markets. As we move throughout the year, I look forward to sharing some of these stories and successes with you. With that introduction, I'm pleased to turn it over to our CFO, John Bogler, to provide more details around our fourth quarter financial results. John?
John Bogler: Thank you, Doug. During the quarter, we continue to execute in our plan to remix and reorient the balance sheet toward more traditional and core assets. First, we further reduced our securities portfolio by $180 million including the runoff of $117 million of CLO holdings. We completed our exit of the remaining $23 million of bank debt during the quarter, which was sold for a gain of $744,000. Additionally, we sold $24 million of MLP debt or 22% of that portfolio at a gain of $1.9 million. That leaves us with $84 million of MLPs on the balance sheet, which are carried at a $7 million unrealized gain at year end. We expect to exit the remaining MLPs over the first half of 2018. These sales continue to be aligned with our strategy to reduce the higher risk portions of the securities portfolio. The asset remix also includes growing held for investment loan balances, which in the fourth quarter increased by $433 million, or 7% from the prior quarter, or 28% annualized growth rate. Originated loan balances have increased by $500 million, or 9%, during the quarter and have increased by 21% from a year ago. Gross loan production totaled $969 million for the fourth quarter, which we defined as gross commitment originations and new production yields on average with 4.68%. Net held for investment loan growth occurred across all of our key portfolios with multifamily growing by $198 million, residential mortgage growing by $135 million, C&I by $99 million and CRE by $11 million, consumer loans declined by $11 million during the quarter. Commercial loans collectively increased by $308 million or 7% from the prior quarter and are up $680 million, or 18% from a year ago. At year-end, commercial loan balances totaled $4.5 billion and represented 68% of the loan book up from 63% a year ago. Additionally during the quarter, we sold $14.2 million of SBA loans at a gain of $1.2 million. On the deposit side, we continue to reduce our reliance on high cost and high volatility deposits as overall deposit balances declined by $111 million. We reduced institutional bank deposits by $603 million driven by a planned reduction of high rate high volatility deposits resulting in $849 million of institutional bank deposits at year-end. Of these balances, we believe approximately $600 million are relationships and products that fit within our go forward strategy and from here will be reflecting our current business unit deposit totals. The remaining $250 million of high cost and high volatility deposits are expected to runoff in the near-term. We were able to replace and remix $290 million of non-brokered non-institutional bank deposits this quarter primarily through our commercial, retail and private banking areas. Although we're not able to fill the gap in one quarter alone, we have grown these deposits over the past three quarters and that growth accelerated in the fourth quarter. Non-brokered non-institutional banking deposits now account for 68% of total deposits, up from 52% at the end of the first quarter. Broker deposit balance has increased by $202 million during the quarter as we backfill the remaining gap from the decline of institutional balances. Our primary goal is growing incremental core low cost deposit funding, but we recognize premier deposit franchises take years to build. In the meantime, we expect to continue to utilize broker deposits as well as FHLB advances as needed while our core deposit strategies are implemented. Transitioning to the income statement, net income available to common stockholders for the fourth quarter was $6.2 million, or $0.12 per diluted common share. For continuing operation, earnings per diluted common share were $0.11. These results included a number of items that we want to call to your attention. The company's fourth quarter reported financial results included $3.3 million of nonrecurring expenses, $4.4 million of negative valuation adjustments related to the mortgage servicing rights, or MSRs, and $2.1 million of an estimated net tax benefit as a result of re-measurement of the company's deferred tax assets and liabilities. After adjusting for these non-recurring items, our core number was closer to $0.16 per diluted common share and we have provided a reconciliation on Slide 10 of our slide deck. Non-interest income includes gains from the previously mentioned sales of MLP and bank debt securities. We intend to exit the remaining MLP portfolio during the first half of 2018 and as we do so we expect to recognize an additional gain or gains on their sale. As noted earlier, non-interest income includes a $4.4 million negative valuation adjustment on the MSR asset. As part of our ongoing efforts to focus on core assets, we have a non-binding offer to sell the SFR agency related MSR asset, which covers approximately $3.7 billion of underlying agency loans. The negative valuation adjustment reflects the offered price. The prospective buyer is conducting diligence and we hope to arrive at a file agreement by early February with servicing transferred to the buyer early in the second quarter. Average interest earning assets were flat from the prior quarter at $9.6 billion after declining for the previous three quarters. We believe earning asset levels have stabilized and have the opportunity to grow higher from here as we put on new loans and grow revenues. Disappointingly but somewhat expected, the net interest margin decreased 14 basis points for the quarter to 3.01%. The yield on interest earning assets decreased 4 basis points for the quarter primarily driven by an 8 basis point decrease in load yields to 4.42%. Held for investment loan yield was 4.49% for the fourth quarter, which excludes held for sale loans, the majority of which are re-recognized Ginnie Mae loans recorded in held for sale. We're required to record Ginnie Mae loans that are 90 days delinquent and eligible to be repurchased by the bank even though we legally do not own these loans. Security yields were flat from the prior quarter at 3.46%. The cost of interest bearing liabilities increased 9 basis points to 1.21%, primarily due to an eight basis point increase in interest bearing deposit costs and a 10 basis point increase in FHLB borrowing costs. The increased FHLB borrowing costs were driven by both higher short-term rates on overnight advances, which totaled $1.1 billion at year-end as well as increased interest expense as a result of $550 million of term advances put in place during the fourth quarter. These longer-term advances are largely tiered over a one to four year period and are expected to improve our overall asset liability position. As Doug noted, we are in the early stages of building a strong deposit franchise and recognize that our rate sensitive deposit and wholesale funding base will continue to put pressure on net interest margin. Deposit costs are the single biggest opportunity we have to improve our margin over time. As we continue to implement increased pricing discipline on the asset side and launch the new deposit and treasury management platform, we expect NIM to stabilize during the first half of the year and begin a slow expansion thereafter. Interest income declined by $400,000 from the prior quarter to $97.2 million, driven by zero interest income on SFR pools in the fourth quarter and lower interest income on held for sale loans, which impacted interest income by $3.2 million. Additionally, interest income from securities and other assets was lowered by $1.2 million while interest income on commercial and residential loans increased by $3.9 million. Now that we have moved past the sale of seasoned SFR loan pools, we would expect loan growth to drive interest income higher over time. This is more apparent when you look at period end loan balances compared to average balances as late quarter fundings cost average balances to lag period end balances by $349 million and provide us with strong footings to start 2018. Another item to note, given the strong loan growth, was the higher provision this quarter, which hurts us on the income statement in the period of origination. For the quarter, we recorded a $5.1 million provision for loan losses while credit quality was relatively stable. With continued strong long growth, pre-tax pre-provision earnings power of the company will become increasingly important. The composition of interest income continues to improve as commercial loan interest income now represents 52% of total interest income, up from 41% a year ago. Interest income from residential loans declined to 22% down from 32% a year ago. Interest income from securities and other assets was 26% for the fourth quarter and we would expect this percentage to come down over time as we exit the remaining MLP securities and reduce our overall securities portfolio. Total non-interest expenses for the quarter were $66.4 million and included $4 million loss on solar investments. Excluding this item, non-interest expenses were $62.4 million and include a number of items that we did not consider to be core operating expenses. These items totaled $3.3 million and included severance, lease termination expense, legal items and software write-off expenses. Adjusted for these items, expenses came in at $59.1 million in line with our near-term target level of $60 million. We are hopeful to be largely past these non-recurring expense items as we head into 2018. Our adjusted efficiency ratio came in at 75% for the quarter, which continues to reflect more of a revenue opportunity for us versus an absolute expense reduction opportunity. Non-interest expenses that average assets came in at 2.33% from continuing operations for the fourth quarter after adjusting for the non-recurring expense items. This number is not overly an outlier for our balance sheet and business mix, although we recognize we have an opportunity to improve this ratio over time by leveraging our existing expense base and growing the asset base. We expect to be able to update you with more thoughts around our expense outlook when we share our strategic roadmap in early February. Lastly, related to income taxes, we got a lot of questions on our outlook for tax rates and solar tax equity program. For 2018, it is likely that our effective tax rate for the full year will be substantially less than the full statutory rate. Given the level of our existing solar investment program, we expect our effective tax rate in the first half of the year to be minimal before reverting to a more normalized level in the second half of the year. As we finalize our plan and complete a full assessment of the recent tax reform program changes, we can share a tax rate expectation for the coming years. Moving to credit metrics, asset quality and trends continue to be strong and stable. Our non-performing asset ratio for the quarter was just 21 basis points, up slightly from 16 basis points last quarter and a year ago. Given the absolute low level we are near, there could be some bouncing around from quarter to quarter. Overall, non-performing assets increased by just $5.2 million and we're primarily driven by two credits. It is important to know that these additional non-performing loans resulted in a minimal amount of new specific reserves as we believe these loans were adequately collateralized. Non-performing assets to equity continued to remain strong at 2.1%. Delinquent loan metrics remain strong and delinquent loans to total loans ratio declined from 1% a year ago to just 63 basis points in the fourth quarter, which is up slightly from the prior quarter’s 50 basis point level. On an absolute basis, delinquencies increased by $10.2 million from the prior quarter. However, I would note that after year-end, we have seen $16 million of these balances come current. Net charge-offs for the quarter were $791,000 or 5 basis points annualized as a percentage of loans. The allowance for loans and leaf losses increased to $49.3 million and ALLL to total loans and leases ratio ended the quarter up 2 basis points to 74 basis points and covered 255% of non-performing loans. Our capital position remains strong as the common equity Tier 1 capital ratio was 9.9%, which is the highest as it has been in over three years. Tier 1 risk based capital totaled 13.8%, which is also at a three year high. All capital ratios well exceed Basel III fully phased-in guidelines. Additionally, our TCE capital ratio has increased 13% from a year ago to 6.8% at year-end. That wraps up the summary of our financials for the fourth quarter and I will hand it back over to Doug.
Doug Bowers: Thank you, John. The fourth quarter marked another series of steps on our journey towards building a more core and traditional commercial bank. We are proud of our progress today. However, we acknowledge the hard work ahead of us in 2018 and beyond to continue this transformation. We get a good deal of questions from investors as to how, what and when of our go forward plan. We hear you. And we plan to share a few insights on these topics soon to help you see the direction we're headed in and how we intend to get there. We truly have a great opportunity in front of us. And with our focused and dedicated colleagues, I have confidence we are well on our way. That concludes my prepared remarks. Operator, now let’s open it up for any questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Timur Braziler of Wells Fargo Securities. Please go ahead.
Timur Braziler: Hi, good morning. First question for me is on the deposit front. So if I understand correctly, there's about $250 million more of what you classify as high yield higher volume deposits that you expect to exit soon in the first half of 2018. Is it possible to see deposit balances actually start to increase from a net basis starting in the first quarter? Or is that still going to be a little bit of too much of a bucket to the backfill?
Doug Bowers: Well, first of all good morning. This is Doug. I think the short answer is that we will be backfilling it substantially throughout the first quarter, but it's going to take a bit of time and we point to the progress that we had in the latter half of the year. And I think maybe too, it would be helpful to have a color here. These legacy institutional bank deposits were both high priced and volatile. And while the world of institutional funding also has a high price, it does not have the degree of volatility that we were experiencing with these legacy deposits. So we decided to set about a program to exit these both high priced and high volatility deposits. The gap was such that we were going to have to use institutional funding, which of course is stable and reliable albeit high cost. So as we've said, we may not like the geography from an organic deposit standpoint, but the range of cost differential is modest. So the key here is to get to a deposit platform that is one organic, two stable, reliable, repeatable and three over time lower cost. And we have to go through this last bit of a reduction that we mentioned to get to the core.
Timur Braziler: Okay, that's helpful. And then looking at the savings cost, the deposit of savings cost, up 22 basis points this quarter. I know you guys are running a promotion of 1% savings rate on balance of north of 100,000. I mean it seems like a very big job. How much of that was negotiated? How much of that I guess is sensitive to future rate hikes? And you know how much are you paying up today to keep some of those core balances out the bank?
Doug Bowers: A lot of those deposits are rate sensitive. Embedded within that, that savings account, we extended duration on about $125 million of deposits and extended that our for four year term. So that’s certainly added to the increase that we saw during the quarter. We also had some other deposit relationships where we were proactive in locking them down for a longer period of time and took action prior to the Fed rate increase to again keep those depositors for a longer period of time. So there were some proactive actions that took place that caused those money market balance rates to increase.
Timur Braziler: Okay, but going forward we shouldn't expect to see similar level of increases from the future rate hikes.
Doug Bowers: I don't think you're going to see increases to the same extent. So if you think about kind of the beta concept, the impact is going to be lower with future Fed rate hikes.
Timur Braziler: Okay and then maybe one more for me if I can. Well I’m just looking at the loan growth and the composition of it, certainly I am glad to see C&I balances for the growth rate accelerated over the last two quarters. But primarily looking at that multi-family segment I guess what were the yields on originated production in the fourth quarter there? And as you look at future loan growth, if this is going to be coming from the multifamily segment and commercial real estate where the flatter yield curve is really impacting those spreads and you're putting out wholesale and costlier funding to support that. Is there any thought on maybe slow loan growth in this type of rate environment until the funding base is more stable? Or is the loan growth kind of an outcome of the production let alone the funding?
Doug Bowers: Well let me take the back-end of the question first and that is to talk about the multifamily business. So we went about a couple of quick but very important items here. First of all Jason Pendergist joined us as Head of Real Estate Banking has a considerable background in the greater world of real estate. One of the things that we have talked about is having a much higher component of retail driven multifamily business versus brokered, which has a degree of higher price content opportunity as well as deposit content opportunity and that will play out throughout 2018 and beyond. And that's what's important in terms of what's going on in the multifamily space. More broadly, we are also adding a considerable talent to the C&I banking teams and to our private bank. So while real estate will always be a very significant component of who we are, we also intend to build out very aggressively other portions of our loan book.
John Bogler: Our weighted average added to that – our weighted average coupon for the fourth quarter was 3.91% and that's down from the prior quarter, which is at 4.14%. What I would note about that and as Doug talked a little bit about is Jason came on board at the end of the third quarter, so he's got his first full quarter under his belt and he's been hard at work implementing a retail strategy. And as we transitioned from more of a brokered strategy to more of a retail strategy, we're also seeing some pricing improvement. So while the 3.91% was lower than the prior quarter, we would expect that on an absolute basis excluding even changes in general level of interest rates, we start to see that rate improve in the coming quarter.
Timur Braziler: Okay, thank you. I will jump back in the queue.
Operator: Our next question comes from Jackie Bohlen of KBW. Please go ahead.
Jackie Bohlen: Hi. Good morning everyone.
Doug Bowers: Good morning.
Jackie Bohlen: Just touching on the deposit still, when I look at the quarterly averages on the rates, how do those compared to where you were at end of period for the various accounts buckets that you have?
Doug Bowers: Are you talking about the average balances?
Jackie Bohlen: So for instance if I look at savings deposits, they were 115 basis points during the quarter, but you mentioned you had extended some duration on those ahead of the rate just to stabilize them. Where was – I'm trying to understand the impact that occurred during the quarter as some of the balance fluctuations that took place and how much of that is priced into the fourth quarter’s deposit pricing versus what will flow through into future pricing understanding of course that there was a rate increase in December.
Doug Bowers: Right, so taking my earlier comment, we did take some action with respect to some of our retail deposit accounts in the money market account segment and we increase the rates proactively in advance of the Fed rate increase. With the exception of the money market, we did not take any sort of action with respect to the savings accounts in advance. So we would expect to see some rate increase flow through as we move into the first quarter.
Jackie Bohlen: Okay. So the impact of what was undertaken in the fourth quarter is not fully reflected in the fourth quarter’s numbers?
Doug Bowers: I'm sorry. Say that again.
Jackie Bohlen: The impact of what was done within the fourth quarter that's not fully reflected in the fourth quarter’s numbers. You'll see some flow through into the first quarter of that.
Doug Bowers: That's correct.
Jackie Bohlen: Okay and that would trend – excluding the impact of the rate increase that would trend first quarter deposit cost up, am I understanding that correctly?
Doug Bowers: That's right. Yep, you’ll see some additional impacting that will flow through into the first quarter.
Jackie Bohlen: Okay, all right. And then looking at loan yields and I apologize for my ignorance on this subject, but can you just provide a little more detail on the impact of the Ginnie Mae loans and how those are reducing loan yields by such a great extent given and just where the portfolio yield is at and then what you're bringing your new generation on at?
Doug Bowers: Sure. For the Ginnie Mae loans, these are loans that were sold to Ginnie Mae and under that program we have an obligation or they have the ability to put back to us loans that are delinquent 90 days or more. Now, they will continue to hold those loans. They will continue to work out those loans to resolution. From an accounting perspective, we record those on our balance sheet. And so, as a result, the asset sits on the balance sheet, but we don’t have an associated yield. And we don't legally own those loans, but from an accounting concept we have to record them on our balance sheet.
Jackie Bohlen: Okay. And what’s the total of those loans?
Doug Bowers: We have $70 million, I think it's $70 million – about $75 million of those loans that sit on our balance sheet as of the end of the quarter.
Jackie Bohlen: Okay. And then the increase in the yield on what you've been booking. Was that mix driven or is that just general trends that you’re seeing in the market?
Doug Bowers: That’s just general trends that we're seeing in the market and I’d go back to the earlier comments as we continue to switch to a retail strategy on multifamily and that will be one of our larger categories for growth, we should start to see some yield pick up as we make that transition to the retail strategy and beyond that in the private banking space and in the C&I space as well.
Jackie Bohlen: Okay. And then just lastly, what percentage of your loan book reprices immediately as rates change?
Doug Bowers: I'm not positive on that one at this time. I want to come back to you to give you a better percent.
Jackie Bohlen: Okay, fair enough. All right, I will step back now. Thank you.
Operator: Our next question comes from Andrew Liesch of Sandler O'Neill. Please go ahead.
Andrew Liesch: Good morning, everyone.
Doug Bowers: Good morning.
Andrew Liesch: Just a question around provisioning loan growth is certainly strong this quarter. If we continue to see loan growth north of 5%, 6%, 7% or at that level, I mean is this the right level of provisioning that we should be forecasting?
John Bogler: As we think about the provision for the quarter, we posted $5.1 million and of that $5.1 million approximately $800,000 was related to charge-offs. So on a net basis, $4.3 million and the overall held for investment book grew by $433 million or so. If you think about in those terms, it's a 1% provision rate. As we look at our overall book of business and kind of the mix of production that's expected to come on, we would look for a provision rate that’s somewhere between 80 basis points to 100 basis points with probably a bias towards the lower end of that range.
Doug Bowers: Yeah and a few boil…
Andrew Liesch: Okay.
Doug Bowers: Maybe a little bit more broadly on credit, we remain very comfortable with our asset quality and the bank continues to focus on our core markets in California. The California based economy and our markets that real estate trends are all positive and as the six largest economy in the world offers good diversification in our businesses. We remain focused on our core lending products as we spoke about earlier the CRE multifamily, residential mortgages, warehouse and C&I and we maintain a conservative credit box. So the growth that you're seeing is really a function of investing in our relationship managers, lifting out teams and not expanding the credit profile materially of the company. So as we look forward, we're comfortable with the economic view of California, comfortable with the existing profile of the portfolio.
Andrew Liesch: Okay. Thank you for that. And then just one housekeeping item here. What's the balance of the CLOs at year-end?
Doug Bowers: The CLO balance was about one point, my neighbor quick…
John Bogler: $1.7 billion was the book value.
Andrew Liesch: Gotcha. You have covered all my other questions. Thanks so much.
Operator: Our next question comes from Gary Tenner of D.A. Davidson. Please go ahead.
Gary Tenner: Thanks. Good morning. I wanted to follow up on one of your comments about bringing the earning asset base as effectively stabilized and it should begin to grow. I'm just wondering given the amount of pressure on deposit costs and the need to kind of remake that your earnings to more runoff and the cost of growing that, why put additional pressure on the balance sheet and the funding need as opposed to running off of more or allowing more of the securities portfolio cash flows to sort of reduce the need for incremental deposits?
Doug Bowers: Well that's – so there are several quick, but important comments around all that. First of all from a regulatory perspective as you know we went over the $10 billion mark. And that has a set of requirements and that are enhanced from a regulatory perspective and related costs. And to contemplate going backward from there is a considerable undertaking and ultimately one we didn't think would be as successful as the converse and that is our go forward strategy. So we have said that we believe and you're seeing it here in the fourth quarter that we will reduce that securities book and have started that program as we have begun to increase the loan book. So over time that the securities book will come down from its approximate 27% level and the loan book will continue to grow and that's the goal. And along the way, we're building out the deposit franchise to address it and we've also had degrees of success early going right now, but degrees of success of getting that underway as well.
Gary Tenner: Okay. And as it relates to the institutional bank deposits, I think the comment was there's about $850 million left, about $600 million of that’s viewed as core and will be moved over to a different bucket going forward. What's the cost of that $600 million slog that you view as core and [indiscernible]?
Doug Bowers: We don't – look we don't breakout specific costs of those varying deposit buckets.
Gary Tenner: Okay. And just one last question just regarding tax outlook and the expense carry on the alternative energy partnerships. I got your comments on the tax rate assumption for the year and how that might trend. Can you give any color on magnitude wise where we should be thinking about the expense item?
John Bogler: In terms of the expenses, we have one solar program that we're still investing in and the expense recognition is largely dependent upon them, the timing of the other party deploying the various solar panels. But I would expect that we would have expenses that somewhat near the tax credits that we receive, so they're largely offsetting.
Gary Tenner: Okay. And should those be remaining investment there, does that run the course of 2018 and then 2019 becomes a cleaner number or how do you think about that?
John Bogler: We expect to be able to complete our investment commitment in the solar program in the first half of the year. And so that's why we will have an effective tax rate that's closer to zero. And then once we've completed our investment, I would expect that that our effective tax rate would start to migrate up to something that's more of a normalized rate and for us what I would consider to be normalized rate is somewhere between 20% to 25% for an effective tax rate.
Gary Tenner: Okay. So in the second half of the year conceivably the expense line item should go to zero.
John Bogler: Conceivably it should go to zero and then our effective tax rate would start to migrate of something. It looks like 20% to 25%.
Gary Tenner: Great, thank you.
Operator: Our next question comes from Matthew Clark of Piper Jaffray. Please go ahead.
Matthew Clark: Hi, good morning. Just on the – on your core deposits, how should – how do you think about or what is the kind of weighted average cost of the new core deposit you're bringing in the door? I am just trying to get a sense for where after you runoff all this non-core stuff and obviously we're dealing with higher rates in the interim. But just trying to get a sense for can you kind of keep a lid on the deposit cost at some point here or not?
Doug Bowers: Look I think I appreciate the questions around the deposit, funding and costs. We’ll have a lot more to say about that when we're together in early February in terms of outlook.
Matthew Clark: Okay. And then just directionally on the loan yields with the noise around the Ginnie Mae loans, but also you know the weighted average rate on new production at 4.68% above the 4.42%. I mean when you think about all the moving parts, I mean, directionally should we assume that that expands once again or not?
Doug Bowers: We'll certainly provide more color as we get together in the early part of February, but directionally you’ve got it correct. I think you'll start to see some benefits on the yield side.
Matthew Clark: Okay, okay, great. And then just on the income statement, the loan servicing line, which I think had a MSR write-down of that $4.4 million in it, which gets you I think back to a $2 million kind of an adjusted number. Anything else in there that's unusual or that’s a decent run rate…
Doug Bowers: No, no nothing unusual. And again we're coming very close to arriving at a definitive agreement for the sale of the MSRs. And once that diligence is completed and we move forward with the disposition of that asset, you would expect that to occur in the early part of the second quarter.
Matthew Clark: Okay, great. Okay, great, thanks.
Operator: Our next question comes from Steve Moss of B. Riley FBR. Please go ahead.
Steve Moss: Good morning. With regard to just on the margin again here two things. One, where do you think the margin bottoms out in terms of the first half of this year? And then the second part, what are you assuming for interest rate hikes in your margin modeling?
Doug Bowers: Well, all of that is forecast and outlook oriented. And if I may we have said, we will have a lot more to say about 2018 outlook in the first week of February.
Steve Moss: Okay. Thank you very much.
Doug Bowers: Thank you.
Operator: Our next question is a follow up from Timur Braziler of Wells Fargo Securities. Please go ahead.
Timur Braziler: Hi, just a couple more for me. Following up on Matt question on MSRs, the piece that’s been sold, is that the final Ginnie piece of it and would that sale done that line item should essentially be zero going forward? Or is this still part of the previously announced MSR sales?
Doug Bowers: No this is a new MSR sale and it encompasses the remaining Ginnie book as well as the small book of Freddie and Fannie that we're looking to sell. So what should remain afterwards is our SBA MSR asset.
Timur Braziler: Okay. And what's the size of that?
Doug Bowers: It's relatively small. I don’t have that on top of my head. I’ll get back to you.
Timur Braziler: Okay. And then just last one for me just looking at the securities portfolio, you know, last quarter you had said that over time you're looking to exit out of that CLO book still at $1.7 billion. Maybe just what’s the yield on that CLO portfolio and for the guidance that you provided on the margin or the broader outlook on margin kind of what your assumption as far as letting that roll-off? Is that going to occur naturally? Or are you guys hoping that to accelerate a little bit?
Doug Bowers: The yield – the book yield on that book of business is 3.29% at the end of the quarter and so that's $1.7 billion. We did allow the runoff of about $120 million over the course of the fourth quarter. We’ll continue to have some controlled runoff of that book of business. There's frequent calls that occur within those types of securities and we still like the security instrument. We just believe we have too high of a concentration in that investment security type. So we'll continue to manage the overall balance for that investment security over time and get it to be a little bit more of a right-sized. We won't necessarily run the balance down to zero over time, but we will get down to be a much smaller portion of the overall investment portfolio.
John Bogler: And I would just add that, all of that journey is keeping with this quarter's elimination of the bank debt, the reduction in the MLPs and then the ultimate elimination of them here in the first half and then work that is being done around a steady or slower reduction, but it will happen on the CLO side as well particularly as we continue to see the loan growth we're seeing.
Timur Braziler: Okay. And if you look at the securities book kind of on a core basis, so ex the CLO run-off, ex the MLP reduction and if you look at that core basis what’s the typical quarterly cash flow? What’s the yield of what's running off? And then what are you replacing that with?
John Bogler: Well, certainly on the CLOs we kind of control that run-down and we have a change of those instruments. So we'll have some of that recalled and then we’ll also repurchase as we control that run down. So we're at 3.29% today on a blended basis and what we're seeing out there in the market in terms of new instruments coming on is somewhere in call at 3 to 3.25 basis.
Timur Braziler: Okay. So the securities that are being purchased to offset the run-off are still primarily CLOs or are you guys purchasing other securities as well?
John Bogler: No at this – yeah at this time we're just purchasing CLO. So again we're starting from a very high point in our overall mix of investment securities relative to the balance sheet size. So we want to start to migrate ourselves down to something that looks more like a peer institution and that migration occur as we see loan growth occur.
Timur Braziler: Okay. And just finally last one for me, sorry to beat the dead horse. But what were the actual CLO calls this quarter? So what was the actual reduction of CLOs from period to period? I know that net earnings was…
John Bogler: I believe we had about $225 million, $250 million of CLO calls for the quarter. And so we had a net run-off of $120 million. So the net there would be purchased amount.
Timur Braziler: Okay, perfect. Thank you very much.
Doug Bowers: I just add to CLOs double A rated, C&I well performing and most on this call would know that there has been a considerable amount of early calls on that activity. So while our book is higher than our peer group, the performance of that asset class has been quite good.
Operator: Our next question is a follow up question from Jackie Bohlen of KBW. Please go ahead.
Jackie Bohlen: Hi, again. Just one, quick one. It looks like the majority if not all of the gain on sale income was from SBA in the quarter, I mean given the MSR sale that you're looking to do. Is it safe to say that going forward all loan sales and servicing income and everything associated with that will be purely SBA driven once that sale takes place?
Doug Bowers: Yeah, so certainly on a go forward basis, we will have gain on sale related to SBA loans as we originate and sell those. We are also looking at kind of our overall balance sheet mix and our production capabilities. And so as part of the production capabilities in both the single family and the multifamily, we will look at opportunities to selectively sell some of the production that's over and above what we might necessarily want to keep on the balance sheet. So we may have some gains on sale from those two product categories as we go throughout 2018.
Jackie Bohlen: And should we think of that as more one-time in nature to work on concentration levels or something that would be ongoing?
Doug Bowers: I would look at that to be more of an ongoing event. And so we potentially will have sales throughout each quarter of the year.
Jackie Bohlen: Okay, okay…
Doug Bowers: The all-in – the only thing I would add to that Jackie is that the all-in levels will be relatively modest and far, far from the historical gain on sale and atmosphere that existed here, here before and particularly related to the former bank home loan mortgage. So we're going to do the right thing around our multifamily book and our resi book. So you'll see us a package up and sell from time to time. But that gain on sale approach again will be a very modest certainly by comparison to anything here in the past. But important…
Jackie Bohlen: So compliment to earnings rather than a driver.
Doug Bowers: Correct, that's right.
John Bogler: Precisely.
Jackie Bohlen: Okay. Okay, and then for the SBA, we had a pretty good run rate of what you would expect going forward outside of seasonal trends?
John Bogler: Yeah, I think that's within reason of why we would expect to see each quarter.
Jackie Bohlen: Okay, great. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Doug Bowers for any closing remarks.
Doug Bowers: Thank you very much. Well to close this out a couple things. I draw your attention to an 8-K that we filed with respect to the settlement of another litigation matter. And what's important here is that first of all that it's settled and it's regards one of our former executives and I would also point out that from a reserve perspective we're pleased with our standing. So I wanted you to know that. The second thing I would do is kind of revert to the overall story here. What we have said is, is that first of all we believe the decline that we are experiencing and managing in the securities book is right in line with the improvement and the increase we're experiencing in the loan book. That is precisely our game plan and it began to really play out meaningfully in the fourth quarter. And we're seeing good pipelines and a good outlook as we come into the year. Our big effort is centered additionally around the deposit side. So with all of that, we will have a lot more to say the first full week of February as regards our outlook and we look forward to talking to everybody then. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.